Operator: Ladies and gentlemen, thank you for your patience and holding. We now have our presenters in conference. Please be aware that each of your lines is in a listen-only mode. At the conclusion of this morning's presentation, we will open the floor for questions. At that time, instructions will be given as to the procedure to follow if you would like to ask an audio question. It is now my pleasure to introduce today's first presenter, Mr. Paul Alexander.
Paul Alexander: Thank you, and good morning, everyone. Welcome to Kimberly-Clark's year-end earnings conference call. With us today are Mike Hsu, our Chairman and Chief Executive Officer; and Maria Henry, our CFO. Here is the agenda for our call. Maria will begin with a review of full year 2019 results. Mike will then provide his perspectives on our results and the outlook for 2020. We will finish as usual with Q&A. We have a presentation of today's materials in the Investors section of our website. As a reminder, we will be making forward-looking statements today. Please see the Risk Factors section of our latest Annual Report on Form 10-K for further discussion of forward-looking statements. Finally, we will be referring to adjusted results and outlook, both excludes certain items described in this morning's news release. That release has further information about these adjustments and reconciliations to comparable GAAP financial measures. Now, I will turn the call over to Maria.
Maria Henry: Thanks, Paul and good morning everyone. Thanks for joining us today. Let me start with the headlines on our full-year results. Organic sales increased 4% driven by higher net selling prices. We achieved strong margin improvements and bottom line growth while increasing our brand investments and we improved capital efficiency and returned significant cash to shareholders. Now let's cover the details of our results starting with sales. Full year net sales were $18.5 billion, that's even year-on-year and included a three point drag from currency rates. Organic sales were up 4%. Looking at the top line by geography, in North America organic sales in consumer products increased 3%. Within that Personal Care grew 4% with positive volumes, pricing and mix. Consumer Tissue grew 2% with selling prices up 7% and volumes down 5%. In KC Professional in North America, organic sales increased 3%, driven by higher prices in all major product categories. In developing and emerging markets, organic sales rose 6% that included about 2.5 points from Argentina. In terms of key Personal Care markets, organic sales increased 20% in Eastern Europe and high single-digits in Brazil, China, and ASEAN. Outside of Brazil and Argentina, we experienced increased volatility and soft results in Latin America, particularly in the second half of the year in Peru, Bolivia and Chile. In developed markets outside of North America, organic sales rose 1%. Moving on to profitability, full year adjusted gross margin was 35% up 180 basis points year-on-year. Adjusted gross profit increased 5%. We generated $425 million of cost savings from our FORCE and restructuring programs that was right in line with our initial target and slightly better than we expected in October. For 2020 we're targeting to deliver between $425 to $500 million in total cost savings and that includes $325 million to $375 million from FORCE. Commodities were a drag of $145 million in 2019, although they turned favorable in the back half of the year. Foreign currencies were also a headwind reducing operating profit at a high-single digit rate. For 2020 we expect commodities will be somewhat favorable mostly offset by currency headwinds, particularly in Latin America. Other manufacturing costs were also higher in 2019. Moving further down the P&L, between-the-line spending was up 90 basis points as a percent of sales. That included higher advertising spending, which was up 60 basis points. SG&A spending also increased and included higher incentive compensation along with capability building investments. Adjusted operating margin was 17.8%, up 80 basis points and adjusted operating profit grew 5%. Operating margins were up nicely in all three business segments, led by Consumer Tissue and secondarily KC Professional. The adjusted effective tax rate was in line with plan and a drag year-on-year, partially offset by higher equity income and a lower share count. In total, full year adjusted earnings per share were $6.89 up 4%. Our October guidance was for earnings of $6.75 to $6.90 and our original outlook last January was for earnings of $6.50 to $6.70. Now let's turn to cash flow and capital efficiency. Cash provided by operations was $2.7 billion down year-on-year as expected and driven by higher working capital. We expect a solid increase in cash flow this year, driven by higher earnings. Capital spending was $1.2 billion in 2019 in line with plan and up year-on-year due to supply chain restructuring projects. Spending will remain elevated in 2020 because of our restructuring. We improved adjusted return on invested capital by 70 basis points to 27.2% which is an all-time high. On capital allocation, dividends and share repurchases totaled $2.2 billion, that's the ninth consecutive year we've returned at least $2 billion to shareholders. We expect to return a similar level of cash to shareholders in 2020 and our Board has already approved our 48th consecutive annual dividend increase. Let me finish with a short update on our restructuring program. Overall, we've made significant progress as we close out the second year of this program. The implementation of our redesigned overhead organization has gone very well and we've already realized most of the total program SG&A savings. In terms of supply chain, activities continue to ramp up. We've announced 7 of the approximately 10 facilities that we expect to close or sell and we've taken action on 6 of those. In 2020 we will start up approximately 20 new assets globally, which is roughly twice the level of activity that we would have in a typical year. Looking at the key metrics, we're about 70% to 75% of the way through pre-tax charges and workforce reductions. Cash payments are about 65% complete and on saving we accelerated savings in both 2018 and 2019 and so far we've generated $300 million of savings compared to our total program target of $500 million to $550 million by the end of 2021. So overall, it was a very good year and I'm pleased that we delivered top and bottom line growth ahead of our plan, while we invested more in the business for the long term. With that, I'll turn the call over to Mike.
Mike Hsu: Thank you, Maria. Good morning, everyone. Let me start by saying, I am encouraged by our results and the progress we made in the first year of executing K-C strategy 2022. On the top line organic sales were up 4% in '19 ahead of our original plan for 2% growth. Our team has maintained strong focus on price realization and executed their plans well throughout the year. As a result, pricing was up 4% and that's the highest realization we've achieved in a decade and it was necessary because of the multi-year inflation that we faced. Our strategy is to elevate our categories and drive trade up also helped us improve product mix by one point. While volumes were down 1% that was better than our original expectation because of strong end market execution, higher brand investment and less impact from price increases. Beyond sales, we delivered broad based margin improvements and above plan earnings. We continue to leverage our financial and capital discipline as we achieve significant cost savings, improved ROIC and return significant cash to shareholders. We also invested more in our brands and businesses in 2019. As Maria noted, we increased advertising spending by 60 basis points. Digital advertising is now about two-thirds of our working media mix and it's helping us target consumers more effectively and deploy our campaigns more quickly. We're leveraging our digital expertise and more businesses around the world and our marketing ROI is improving. Importantly, our digital strategy is helping us grow volumes and businesses like in Fem Care internationally, Diapers in Eastern Europe and Adult Care in North America. Now beyond advertising, we've also started to invest behind and focus more on improving our other commercial capabilities, including revenue management. We're taking a disciplined program management approach to this effort. This includes making sure we have the right tools, processes and resources so we can better leverage these growth capabilities. While it's still early days, we're making good progress and I expect more going forward. All in all, our teams have made excellent progress in 2019. And I'm proud of their accomplishments. Now I'll turn to our outlook for 2020. Our plan is consistent with our balanced approach to value creation includes higher growth investments and aligns with our K-C strategy 2022 financial objectives. On the topline, we're targeting organic sales growth of 2% and that's consistent with our medium-term objective and similar to our expectation for category growth. We expect selling prices, product mix and volumes to all improve in 2020. Pricing should be weighted for the front half of the year, while volume growth will likely be more weighted to the back half. We expect the promotion environment to be competitive but remain broadly constructive. We will continue to increase our growth investment in 2020 and that includes investment in digital marketing, in our commercial capabilities and in our products as part of our innovation agenda. In the first half, we will launch innovations in North America on Huggies, diapers and adult care along Cottonelle bathroom tissue. In D&E, we have several upgrades coming in personal care in key markets such as China, Eastern Europe and Latin America. We're confident in our growth investments and innovations will help us grow volume and improve product mix this year and improve share performance over time. Our investments will start right away in the first quarter while the benefit should build as the year progresses. We're targeting to grow adjusted operating profit 3% to 5% and on average, that implies 50 basis points of our operating margin expansion. Gross margin should increase more than that. On the bottom line, we're targeting adjusted earnings per share of 710 to 735. At the midpoint, that represents growth of 5% in line with our K-C strategy 2022 objective. Finally, as Mario said we expect to improve cash flow and return significant amounts of cash to shareholders. So in summary, I am encouraged by our progress in 2019 and our outlook for 2020. We're investing more in the business to drive long-term success and we're confident in our ability to deliver balanced and sustainable growth and create shareholder value. Now that concludes our prepared remarks and now we'd be happy to take your questions.
Operator: [Operator Instructions] Our first question will come from Lauren Lieberman with Barclays.
Lauren Lieberman: I guess, first thing is I'm struck by the 60 basis point increase in advertising spending and my model which goes back to dare I say 1997, that's the largest one-year increase in advertising in the company's history that goes back that far. So that coupled with the fact that you had $100 million of incremental SG&A in the fourth quarter and then looking ahead into next year, the implied reinvestment spend. So can you just talk about like are there areas where you feel like as a company you've been under-invested that it requires this much step up in spend, some of it's being supported by the fact that it's a benign input cost environment, but the plans that you'd laid out a year ago didn't contemplate the deflation that we're seeing. So I'm just kind of curious like the aggregate amount that's going back in, where you would say it's most focused and what it takes to start to see a return on that because the revenue guidance for 2020 while healthy doesn't seem to tie with the amount of money that's going back into the business?
Mike Hsu: Yes, I think there is a part of it - maybe there is a small part of it, which say, hey, we had a tough couple of years, and so we had trimmed back a little bit of A&CP. So part of that is restoring a bit of that. But the other part, I would tell you is, we feel really good about our stance on investment, and I think it really reflects, in our view, the quality that we have in our commercial programming for this year. And also I think the fact that the category conditions we think are very conducive to growth and I think that's a big change versus when we talked this time last year where we were uncertain about the marketplace and we still were launching new innovations and new commercial program. So we feel really good about that. I think consumer demand has been pretty darn resilient and the competitive environment has been - we would say broadly constructive and so that makes the conditions pretty - very good for growth. And then the commercial programming, we've got great innovation that launched in 2019 in North American Adult Care, in China in Diapers. We've got great innovation coming this year across Personal Care in multiple markets that we're very excited to support. And so we feel good about that, so a big chunk of it is increased investment in the product and ongoing and we have some good news coming. And then Importantly, I mentioned digital, which is about two-thirds of our overall advertising spend is being very productive for us and we feel really good about our campaigns and the content we have out there and our team's ability to manage it effectively at a higher ROI level. So that's the second area, and then commercial capability. And for us, I'll translate commercial capability it includes kind of the innovation process, it includes revenue growth management, it includes sales execution and then the digital aspect. And so all those areas we're investing and building our capability there.
Maria Henry: Yes, and Lauren, I chime in that we were up 200 basis points in the fourth quarter. We were also up in the third quarter. And if you recall, fourth quarter and the back half of 2018, we had particularly low spending between-the-lines, so I think the full year comparison is the best way to look at this. And for the full year, we're up 90 basis points, 60 basis points of that. With advertising, Mike mentioned the investment in commercial capabilities which ramped up toward the end of the year. And then the other thing I call out is incentive compensation which we've talked about before. This year, we over delivered on our plan and therefore had higher variable compensation. In last year, the opposite was true, we under delivered on our plan and therefore the variable compensation was lower. So you look at the year-on-year increase and that's an effect. And the last thing I'd point out there is the way that our plan was constructed back in January, we had planned for a ramp on between the lines spending in the second half and even more or so in the fourth quarter, just the way that timing of our programs in areas like IT, we're scheduled to execute.
Operator: Our next question comes from Olivia Tong with Bank of America.
Olivia Tong: Wanted to talk about the pricing contribution for fiscal '20, interesting to see that you're expecting to be positive. So is that price that's already in place that had yet to lap or more pricing that hasn't been introduced yet that you're putting in place or more a function of decisions you're making on promotional levels like you did on in China as you focus on revenue management?
Mike Hsu: Yes.
Olivia Tong: Has there been any - sorry and just any change in your promotional expectations for fiscal ' 20? Thanks.
Mike Hsu: No. Yeah. Thanks, Olivia. Yeah, I think broadly I'd say with the pricing environment 2019 was broadly constructive and we - our expectation is for it to remain still in 2020. We do have some pricing in our plan. I would say, a big chunk of that - the majority of that is carryover from actions we took in 2019, right and so you'll see most of that come through in the first half. And then we do have probably some pricing plan to address specific issues in specific markets where we've got some volatility in currencies or the economy. So that's that aspect. I think in the - the overall, I'd say not pricing in 2019, I think it was ahead of plan and the volume impact was less than plan. There were probably a few isolated hot spots and there are probably a few isolated hot spots now. Our teams are staying close to those situations and we're going to fine-tune our promotional plans as appropriate, but maybe the headline, I would say is, we're more focused on driving category growth and driving it the way that you would want us to do that by launching improved products and driving advertising. We'd rather I think earn our share and own our share through innovation and advertising instead of renting it through a promotion. And so I think right now our expectation is the environment should remain constructive.
Olivia Tong: And then just following up, obviously you've talked about China price promotion actions you've taken in the past, just your view on the market for D&E, Personal Care because it's nice to see the volume growth again, but the sales have decelerated a bit. So just if you could talk to that a little bit? Thanks.
Mike Hsu: Okay, Olivia just to be clear that was about China.
Olivia Tong: Yes. Specifically in China.
Mike Hsu: Yes. China, we're feeling very encouraged by our progress. We're up double digits behind really strong momentum on Fem Care and really an improving trends in the Diaper business. I'd say on the diaper side, really what's driving our improvement is really good innovation that's gaining a lot of traction with consumers in the marketplace. It has been to-date mostly launched in our premium tiers or Tier 5, 6, 7 and which is growing at a pretty good clip. I'd say we still have some issues on our lower tiers where we have - we look still little more softness there. We are expanding our innovation. We have more exciting innovation that we're launching this year and we're rolling that out across the business in Diapers and so we feel really good about our position. The birth rate has been down a little bit '19 versus '18, we expect to probably be flat to down a little bit in this year as well. But we still think there's plenty of developed market development opportunity in China and we're still very early I think in the life cycle of our categories in China.
Operator: Our next question comes from Ali Dibadj with Bernstein.
Ali Dibadj: So I have a couple of three questions. One is on your comments about constructive pricing, we've - I asked this earlier this morning too, but we've kind of seen this movie before where there's sometimes of air pockets where pricing stay that combined rollover, so gross margins expand for this opportunity to invest in the category through advertising everything else which is what your plan is for the year. But again, having seen this before, you've seen it before as well. Often times a quarter from now, maybe two quarters from now you start seeing competition creep in from a pricing perspective and things - it'll get that worse not that it gets bad, it'll just get a little bit worse than the plan. So how are you confident that this movie is not going to end the same way or have the same competitive pressure picking up over the next little while here and tactically how much notice do you get about that?
Mike Hsu: Yes, I mean I - the scenario that you paint or that possibilities always exists. And I think the overall is, we're going to remain competitive in the marketplace and we'll be competitive on price. However, I think maybe the emphasis, Ali, for us is we feel really good about our innovation and we feel really good about our commercial, our marketing programs and so that's where we want to invest. And you may have covered categories that have commoditize I worked in categories that people seeing that commoditize over time and that's a dead end. And so for me, I think we want to take the high road and build our categories. We have - if you - our thesis say there's a lot of growth left in our categories in D&E and in elevating our categories in developed markets, but to do that you need to bring innovation and you need to get the consumer good reason to buy which is by creating more value for our products. So that's where our focus is. We will be, however, competitive, but the other factor on pricing. I'd say it's also, if you look at it, we're still above our 2017 cost levels. And so we're still - we still want our margins back to kind of where they are. We're now all the way back at it and to the extent that we would like them. And then the other side of it is that we are anticipating some pulp inflation in the back half of the year. So there is a lot of other factors going on, but our teams, I would say, have gotten sharper and more tuned with our revenue growth management capability to the market conditions. And so we'll stay close to it, but we're going to run the play which is the highroad play right now.
Ali Dibadj: I'm not - again I'm not questioning you guys, I just wonder others follow that same high road who are in more private label prone or smaller or more private or whatever. Okay. I guess we'll watch it. Second question of three is on free cash flow, it looks like certainly for the year, it was down quite a bit, a lot of that was CapEx driven. Could you talk a little bit about and Maria, if you could you talk a little bit about the drivers of free cash flow in 2019, how we should think about it for 2020 and in particular the CapEx as a percent of sales still looking perhaps elevated?
Maria Henry: Sure. The cash flow in the fourth quarter was actually strong at $924 million for the year. As you call out, operating cash flow was $2.7 billion and that's down from prior year. It's not - it's in line with our expectations. So it was a very plan for - as you know, we are funding the restructuring last year, this year and so we've got elevated expenses coming up on CapEx. The big driver on operating cash flow which we've talked about before is that we had a big shift in working capital, particularly around payables where in the fourth quarter of 2018, we had a very high inflow from working capital driven by payables timing. We basically had to pay that back out in the first quarter of 2019 and that affected operating cash flow for the year that was the big driver. Encouragingly though, Ali, when I look at our cash flow from operations, we were up nicely year-over-year in the second half of 2019. We were up about 10% and the trends on working capital are positive, but that was true both in the third quarter and the fourth quarter. I'd also call out related to that, our cash conversion cycle was 10 days for the year which was a day better than it was in the prior year and it was better than our expectations. In terms of CapEx, CapEx was elevated in 2019 and it will be elevated again in 2020 as we work through the restructuring. And as you recall, we said we'll main out the restructuring program that we were expecting incremental CapEx of $600 million to $700 million on that program. And so during the time of the supply chain activities which is '19 and '20 on restructuring on a percent of sales we've got a pretty high number, I think it was 6.5% of sales or something like that. But we did say that coming out of the restructuring, our expectation is that CapEx will be 4% to 5% of sales and that is down from our historical model of 4.5% to 5.5%. So a long answer, but I feel that the cash flow for the year was good and as expected CapEx. CapEx is in line with what we've been talking about as we execute on the restructuring.
Ali Dibadj: So it's still going to ramp down after 2020. Okay, that's very helpful. Thanks for indulge me for my last question. We talk about China with a question earlier, but just more broadly the emerging and developing markets for you only grew 3% that continues to be a slow down. I get the comp is tougher, but are there signs of improvement in that growth rate or should we continue to expect kind of again taking into account compares that we're talking about this low single-digit type of emerging market - emerging and developing market growth rate? Thank you.
Mike Hsu: Ali, I think we feel very good about our D&E performance. I know it's slowed down sequentially a little bit in the fourth quarter, but if you look at the key markets, Brazil continues to do very well, we would say excellent performance in a tough market. China, I think the trends are improving CE, as Maria pointed out, 20% growth on the year. So we feel good on our key markets. I think the big driver of the slowdown, if you look at the fourth quarter was one we're starting to cycle pricing in some key markets in Latin America, for example, in Brazil, I think our pricing in the front half was up double-digits and so we're starting to cycle that. And the other part of it is, as we mentioned, we've got some softness due to some macro issues and competitive issues in, what we would call, South Latin America which is, Peru, Bolivia and Chile and you're probably aware of what's going on there but there's a lot of social unrest which is actually affecting some of our categories, and so we're managing through that. We've got a great team, they're very experienced in kind of working through this and we've got very solid plans to address at least some of the competitive issues in those markets.
Operator: Our next question comes from Andrea Teixeira with JPMorgan.
Andrea Teixeira: My question is on [Technical Difficulty]
Mike Hsu: Andrea you're cutting up. We can barely hear you.
Andrea Teixeira: I'm sorry, I don't know if you could hear the question. So my question is on emerging markets. So with China growing double digits, I think you just mentioned Brazil doing well but lapping the double digits price increase. So is the other South of Latin America markets which I understand that is much smaller, what are you embedding in terms of deceleration for develop emerging into your guide or you just are expecting it to continue to be in the low-single digits into your 2%, so that obviously embeds the developed markets would be about 1%? So I would just want to kind of double clicking your separating emerging markets and developed markets? And then just a clarification question on the reinvestment question, so I understand that you were try - like you were saying like we have a lot of innovation, but according to our math, you're kind of reinvesting about $400 million on top of your base of SG&A and already invested about - you already increase around $170 million. So I understand the breakdown in assumptions, but if you can break into the large line items including compensation, R&G and advertisement into your guide, so that we can understand why it's kept into the mid-single digit growth?
Paul Alexander: Sure. This is Paul here, Andrea. There were several questions there. So I'll take the first one or two and then we'll pass the investment questions over to Mike and Maria. On the outlook for 2020 in developing and emerging markets, we don't have a hard and fast number to give you, there are several moving pieces in the business. But as Mike said, we're confident about the underlying trends in several of the markets. There is some increased volatility that we saw in the first - in the back half of 2019. We think that those have largely stabilized, but probably at a lower level. So as we enter 2020 that will be with us for a period of time. But overall, we would be looking to deliver solid organic growth in developing and emerging markets in 2020. In developed markets, in general, our expectation is unchanged from what we have been delivering over time, which is modest growth.
Maria Henry: And then on the between-the-lines outlook for 2020, we are expecting it to increase both in terms of dollars and as a percent of sales and that we expect to be driven by higher advertising as well as I'd say secondarily capability investments. Just as a reminder, there is a few other moving pieces in SG&A, we are expecting some modest benefits from restructuring in 2020, we'll have the benefit of incentive compensation normalization. And then going the other way, we'll have our normal labor and other cost inflation that run through SG&A. Beyond that, we're not providing a specific target for the level of increase, but we are interpreting that it will be a healthy level of increase.
Operator: Our next question comes from Jason English with Goldman Sachs.
Jason English: I wanted to come back to emerging markets because I'm having a hard time footing the narrative with the numbers. The 3 points organic, how much did Argentina add to that this quarter?
Mike Hsu: It was slightly less than two points.
Jason English: So we've got slightly north of 1 point is sort of underlying emerging market growth right now. And you're saying China is up double digits, Central Eastern Europe growing like '20s, Brazil strong. Is it the declines in the sort of non-core EMs or that substantial that there weighing you down or were the growth figures you are giving us for these other markets where they annualized and not just the quarter? Just having a hard time because I always view Brazil, Central and Eastern Europe and China is like chunky and if they're growing the EMs I thought it would do better. So I'm really having a hard time footing strength there but really no growth kind of in aggregate?
Mike Hsu: Yes. So again, I think it's as you postured which is good growth out of those markets and I think a continued growth and a little softness and what I would term our other Latin America was probably the big chunk of that. It's actually probably a little more substantial or when you add it all up, then you might think.
Maria Henry: And then also K-C Professional outside those North America has had lower numbers in the D&E markets than what we would have anticipated. And the same factors as we talked about with the volatility, but obviously when we get the total numbers that includes K-C P as well as the consumer business.
Operator: Our next question comes from Wendy Nicholson with Citigroup.
Wendy Nicholson: Circling back on kind of a line of questioning about the international markets. We talked about the margin internationally before and I know there's just a lot of structural lower pricing and whatnot. But just in terms of - has a longer-term kind of over the next three to five years, how much will be international margin benefit from the restructuring and a lot of the restructuring you're doing is North America centered, but I'm just wondering how long will it be until we can see real margin improvement in those international markets? Thanks.
Mike Hsu: Yes, I mean. Well, I would say, we are planning for margin improvement over time and I think there's a couple of different things, one related to the restructuring which gets us to better and more common assets across the world, especially in Personal Care, so that's going to be one factor. But the other piece is our strategy to elevate our categories. And so we are going to see - we are expecting and planning for mixed premiumization and innovation that's going to drive more positive mix and margin over time. A good example of that would be China. We feel great that we've delivered substantial product improvement. Our gross margins are at record levels with that product improvement. So that's kind of a win-win innovation in our minds.
Paul Alexander: And Wendy, you'll be able to see our geographic disclosures when we publish our 10-K in February, but I can preview it to say that our international margins in total were up somewhat in 2019, despite the volatility and the currency headwinds.
Wendy Nicholson: So I'm just thinking obviously to the extent of focus is on accelerating the growth there for long as the margin gap is a significant as it is, it's actually a headwind to your margins. So I'm just trying to balance that as I think about it over the next few years, would love to see you grow faster outside the U.S., but obviously going to come at a cost if you can't ramp up those margins as well?
Maria Henry: Right.
Wendy Nicholson: Second question just back on the North American business. Are you surprised, I mean just given sort of the size of private label in some of your categories, we're surprised that we haven't seen more promotional aggression on part of private label? Do you think we should expect that in 2020? I mean I guess, we've been surprised not only because so many retailers are talking more about private label investments, but also in your categories, it seems like given the commodity environment we're at pretty unique opportunity for some of those private label guys to get more aggressive on pricing. So what's your take on that and is it just that consumers are really loyal to brands and innovation in your category all of a sudden or is that a legitimate threat as we look at 2020 and the cost environment?
Mike Hsu: Yes, I guess maybe the key thing for me is, in general, we're seeing a little increase in private label throughout '19 pricing particularly in Tissue has not moved up, right. And so maybe in some select pockets, but in general has not moved up at the same levels that the brands have. So that's one factor. I really don't expect and wouldn't think it would make sense to overly promote private label, mostly because of the reason that you probably surmised which is, I don't believe consumers drive retail choice or their choice of retail outlet by because of private label. I think the study after study that concludes that they make choices based on national brands and they - and that's what drives that behavior. And so I don't know that necessarily promoting on the private label side is a productive behavior. In fact, I would say, I have skin in the game here but I would suggest that if they drive the right national brand strategy, I think that will help grow the retail business more effectively.
Operator: Our next question comes from Kevin Grundy with Jefferies.
Kevin Grundy: Mike, I wanted to come back to the topic you were kind of dancing around I guess asking it different ways, but with respect to gross margin, so your performance was fantastic as was Procter's this morning. Still seeing some pricing benefit albeit one dissipating and commodity costs lower. So from a retailer's perspective and understanding the importance of brand. So we've been asking this from, okay what are Procter moves, what are private label moves or so forth on promotion. But from a retailer's perspective, why wouldn't they be coming back to you guys now to the manufacturers and asking for some of this to be dealt back through trade promotion. They never want to take a price increase, right. So now in the current environment, now why wouldn't - what's the risk that retailers sort of force the issue and lean on manufacturers to start dealing some of this back? And then I have a follow-up.
Mike Hsu: Yes, well I think, Kevin, again I still point out that we still had inflation in 2019. Our costs are still higher than they were in 2017. And so when we say this inflationary impact has been multiyear, our pricing hasn't - even hasn't fully recovered that, it's actually far from fully recovering that. So that's kind of my view from my chair on the pricing. On the other side of that, I think you'll need to talk to the retailers to get their views, but my personal side would be our discussions with retailers tend to be around how we're going to grow the category and that's what they're most interested in. As long as we've got the right plans with innovation and category support to drive category growth that's really kind of where their focus is and that's what - where most of our conversations are about these days.
Kevin Grundy: I'm bringing a quick follow-up to a question that was asked earlier. I think what investors, what analysts will try to figure out is the level of conservatism that's in your guidance versus how much investment whether that's advertising and marketing or other areas, excuse me, of OpEx that are there more sort of locked and loaded. Can you help us think about that, because in the absence of kind of putting some parameters around that, given the benefit that you're seeing from commodities, that you're seeing from FORCE, that you're seeing from Restructuring, it certainly looks conservative and it's hard to envision advertising and marketing stepping up to a level that's implied. So can you help us as best you can with the level of conservatism and flexibility maybe behind the competitive environment? Maybe kind of help us think about that? And that's it from me. Thank you.
Maria Henry: Sure. What I would say is I think that we've got a reasonable and balanced plan that we're shooting for in 2020 and we've shared with you the primary assumptions that go into that. What I can also tell you coming up on my fifth year here is that there are lot of variables that happen that we can't accurately predict as we go into a year. We've seen that happen on the downside a couple of years ago, a bit on the upside last year. And so as we go through the year we'll react to the environment that we're in, but there is potential volatility on the commodity side, there is potential volatility on the currency side. We've talked a lot about strong competition and competitive activity, so far in this call. So there is a lot of moving pieces and as we always do, we will make the decisions that we need to make during the year to deliver on the balanced model that we strive to achieve year-on-year.
Operator: Our next question comes from Steve Strycula with UBS.
Steven Strycula: I've got a question for Mike and then a quick follow-up for Maria, Mike on your organic sales outlook for the full year, should we interpret that to mean that volume should improve from the rate it was in '19 or we should see absolute volume growth for the full year fiscal '20 and what specifically is driving that. I imagine you're going to say innovation. So how do we put the Diaper innovation in the context for 2020 relative to how the special delivery diapers for Huggies did in, call it, 2019?
Mike Hsu: Yes. The organic outlook is 2% and that really reflects our expectation for both the category and then obviously our performance as we cycle the pricing. The volume in our plan is absolute growth, again, we're expecting balanced growth from volume mix and still a little bit of pricing, Steve. Its innovation, I probably would say that the flip on volume is not going to be as daunting as you might perceive because, I would say, our underlying volume performance in 2019 was very good. And what I mean by that is obviously if you're going to take pricing you're going to have a negative volume effect in accordance to whatever you think your elasticity is. And so we saw that, but I do think we had really good underlying initiatives whether they were driving distribution and new categories and new markets in different countries or launching innovation and increasing advertising. We saw the volumes come underlying that offset most of or some of the price elasticity effect and actually more than we had anticipated. So we think we've got very - we had very good execution in 2019. And I don't think the effect in '19 was related to elasticity impacts were less than we expected, it was more related to execution of volume initiatives were better than we had expected. Did that help?
Steven Strycula: No it does. For Maria just quick follow-up to Ali's question, could you give an operating cash flow number of $2.7 billion in 2019 should that be a little better or a little worse in 2020. And then on the commodity piece, if it was $60 million deflationary in the fourth quarter, but the full year outlook is $50 million to $200 million. Can you help us think through what is basically baked into your commodity outlook assumption? Thank you.
Maria Henry: On cash from operations, we are expecting that to be up in 2020. And on Commodities, we are expecting fiber to start to pick up particularly in the back half of 2020 which is built into our assumption of the $50 million to 200 million for next year.
Operator: At this time, we have no further questions in the queue.
Mike Hsu: Great. Well, we appreciate everyone's questions today and have a good day. Thank you very much.
Operator: Ladies and gentlemen, that concludes this morning's presentation. You may disconnect your phone lines and thank you for joining us this morning.